Operator: Good morning, ladies and gentlemen. My name is Maria, and I will be your conference Operator today. At this time, I would like to welcome everyone to Coty’s First Quarter Fiscal 2021 Results Conference Call. As a reminder, this conference call is being recorded today, November 6, 2020. On today’s call are Sue Nabi, Chief Executive Officer; and Pierre-André Terisse, Chief Operating and Chief Financial Officer. I would like to remind you that many of the comments today may contain forward-looking statements. Please refer to Coty’s earnings release and the reports filed with the SEC where the company lists factors that could cause actual results to differ materially In addition, except where noted, the discussion of Coty’s financial results and Coty’s expectations reflects certain adjustments as specified in the non-GAAP financial measures section of the Company’s release. I will now turn the call over to Mr. Nabi.
Sue Nabi: Ladies and gentlemen, good morning. Back in August, I spoke to you on Coty’s fourth quarter earnings call and shared with you that I had considered Coty to be a jewel in the rough, and I continue more than ever to believe in this. After several months of leading as CEO, I can confirm that Coty is transforming and emerging from the COVID-19 crisis much stronger and more nimble and also better prepared to face any future market disruptions. Our Q1 results are a clear testament to this. Across all metrics, both operational and financial, our results improved significantly from the low point of last quarter and came in at or ahead of our expectations. Month after month, we are seeing net revenues sequentially improving with solid orders in advance of the holiday season. Part of our improvement has been driven by an improving market backdrop. We have seen better sales trends across each of our regions and across both the Prestige and mass channels, which reaffirms the validity of our dual-channel model. And with retailers’ inventories now at normalized levels, we are also seeing much closer alignment between sell-in and sell-out. In fact, in some areas, sell-out trends are stronger than expected. At the same time, we have made significant progress in improving the performance of our P&L and our portfolio. On the financial side, I’m extremely pleased to see that the organization has continued to adapt to the new normal, executing on our financial and operational priorities, including profit and cash flow protection. Our stringent cost control enabled over 20% growth in our adjusted operating income, over 50% of the total company EPS and stable net debt. We remain committed to diligent cost control and delivering on our fiscal 2021 financial commitments, including being profitable on an adjusted operating income basis for continuing operations and being cash positive for the year, contributing to a decrease of our net debt. The Wella divestiture is expected to close as planned by the end of calendar 2020, which, together with positive cash flow in the second quarter 2021, will lower the financial net debt from $7.9 billion today to around $5 billion, including the value of the remaining 40% Wella stake, which Coty will retain, valued at $1.3 billion, economic net debt will be reduced to below $4 billion. At the same time, we have seen good progress in the first quarter on our key priorities, including strong innovation performance in both Prestige and mass channels, strengthened market share in our core markets. E-commerce moving from a catch-up mode to a momentum mode while at the same time gradually strengthening our foothold in skin care and in China. As we progress through the year, we will continue to invest behind these key priorities, for example, through amplifying our skin care R&D through smart organization changes, strengthening our brands and reinforcing their connections with consumers. Part of this investment includes strengthening our executive leadership team, and we have made two very high-quality hires recently. Isabelle Bonfanti, formerly at L’Oréal and Hermes, has joined as Chief Commercial Officer of the Prestige business to accelerate our growth in makeup, skin care and in Asia and to champion the Prestige distribution model and its unique characteristics. Second, Jean-Denis Mariani has joined in the newly created role as Chief Digital Officer to supervise our digital transformation. First, to accelerate our e-commerce momentum, to put in place the right conversation, CRM and digital testing tools, to prioritize digital in our media mix consistent with consumer trends, and last but not least, catalyzing Coty’s huge direct-to-consumer potential with Kim and Kylie Skin Care, Philosophy skin care and all other digitally gifted Coty brands. Let me now turn it over to Pierre-André to discuss our financial overview.
Pierre-André Terisse: Thank you, Sue, and good morning all. I would like to start with a reminder of how to read our figures, given the complexities generated by the change in scope. Indeed, since the signing of the sale and purchase agreement with KKR for the disposal of 60% of Wella, we have been reporting our professional and retail hair business as available for sale and discontinue operation for U.S. GAAP purposes. So this means, in particular, that we consolidate Wella net income on a separate P&L line, which is below operating income. As a result, our net revenues and most P&L metrics are presented on the basis of continuing operation, that is being the total Coty less Wella. And to give you a better idea of what Coty will look like going forward, we also produced what is called ongoing Coty, which adds to continuing operations, the cost recovery we are going to receive from Wella from Coty as per some transitional services agreement. All KPIs relating to the P&L from net revenues to operating income relates to continuing operations and ongoing Coty. In the presentation here, as for the rest of the EPS and the cash flow, we do continue referring to total Coty with a 100% contribution of Wella net income and cash flows. This being said, let me now move to Slide 5 and our net revenue trends, which have been showing a strong recovery versus the previous quarter, both in mass and Luxury. After a trough in Q4 and more specifically in April, our sales have been increasing month-after-month throughout period, with the month of September ahead of our average revenues for the third quarter. Compared to Q1 2020, our net revenues remained lower by 19% on a like-for-like basis, Mass being at minus 10% and Luxury at minus 25%. This is very much in-line with what we expected, minus 20%. As you remember, we indicated during fiscal full-year fiscal 2020 earnings call. I would like to add a few comments to help you read these numbers. First, travel retail remains by far the most impacted at minus 70% versus last year. This, given its weight, represents approximately five points, which implies that the rest of the business, therefore, declined by mid-teens. Second, e-commerce has been growing not only strongly but ahead of the market, leading the market share gains for Coty. The percentage of our net revenue done through e-commerce and DTC has doubled versus where it stood at the beginning of COVID. And this is not only helping our net revenues, but it also makes us less vulnerable. Last and importantly, we are carefully managing sell-in and phasing it with sell-outs, thus limiting the inventory and the trade under exposure to the upcoming second wave. A word about Q2 now. We just completed October with net revenues down high single digits, very close to minus 10%, actually, versus a year-ago, reflecting strong pre-Christmas orders and confirming a very fast recovery of our net revenues. Of course, as we see lockdown reinstated in several countries in Europe, we will get some impact on our net revenues for the rest of the quarter. But for all the reasons previously mentioned and for the limited number of market concerns on Eastern Europe, we do not expect such impacts to be in any way close to what we suffered in the first wave. I will now turn to the operating income, Slide 6. While we suffered a very significant loss in the fourth quarter of last year, we are delivering for the quarter an operating income of $81 million, which is $93 million if you add the revenues from the TSA, and that is up 24% versus our operating income in the first quarter of fiscal 2020. This is the testimony of the actions taken by Coty since the beginning of COVID under the leadership of Pierre, Peter and Sue. All P&L lines are contributing, COGS first. After a weak Q4 marked by high excess and obsolete levels and a low level of fixed cost absorption, gross margin has come back to the average level of fiscal 2020 at 58.6%. So this is still 150 bps lower than the same quarter last year, and it shows that we still have room for improvement, but the speed of the rebound has been particularly good. Second, we have operated a reset on ACP with three objectives in mind. First, adjust the spending to our new sales side. We have spent 20% of our net revenue this quarter and adjusted to our new profile, specifically to geographies and channels, more online, less off-line, less travel retail. Second objective to adjust the support of net revenue to the net revenue trends we have ahead of us. First, making sure we make the best possible use of our money and we protect our P&L. Third, this reset aims at helping us become more strategic and focused in our investment, leveraging Sue’s leadership and getting away from a fragmented allocation by market. To this effect, the pay-as-we-go process has been implemented, where Sue and the leadership team review all initiatives and opportunities brought by the central and the in-market teams and actively free up spending on a fortnight basis in light of net revenue opportunities and upcoming initiatives. This is a deep change in our way of working, and we expect will increasingly help our top line. The third element is fixed costs, and I will detail it, Page 7. So you remember that we had concluded that the exit of COVID that we needed to reduce our fixed cost in a very sizable way, setting for ourselves a target of $600 million for remainco, with the first $200 million in fiscal 2021. Q1 has been remarkable on that side, as we have already delivered $80 million saving laying the ground for delivery ahead of the objective for the year. Several work streams have contributed to it, including an acceleration in implementing our headcount reduction, substantially in-line with that design for the turnaround, but we have added to this many initiatives on the business service side. Of course, with a maintained freeze of expenses like T&E, but also with very strong and visible actions on third-party services. And the procurement team have, of course, added to it in many fields. $80 million delivery of the quarter is approximately the size of our operating income in Q1, and it shows how critical this achievement is for Coty. Beyond the profit of the quarter, it makes us incomparably stronger to face what is likely to remain for some time a volatile environment. And now moving to total Coty and the EPS. The 24% increase of our operating income has been the first source of the 57% growth of our EPS. The second one has been Wella performance. Over the quarter, net revenues have grown by 7% as salons start reopening after the lockdown and retail hair and nails remains strong. Like Coty, Wella has seen a strong rebound of its gross margin and has benefited as well from a tight control of its fixed costs. So this have added some temporary effects with the pause of depreciation linked to the discontinued operation accounting treatment and with a gradual stand up of the new teams over Q1. The sum of these effects have fueled a doubling of Wella operating income and a contribution to Coty EPS north of $90 million. So the performance of the two businesses, as we see our EPS write off our share counts, increased under the effect of the $1 billion convertible preferred subscribed by KKR, which are treated as equity for the purpose of diluted EPS in U.S. GAAP. To end with this, upon closing of the Wella deal, our EPS structure will remain similar, but Wella contribution will be recognized for 40% only, and our net interest will be reflecting a significantly reduced net debt. And turning to Page 9 now on cash flow. So the profit delivery has translated into a free cash flow which is ahead of our expectation and almost stable for the quarter at minus $28 million. Beyond profits, we have made progresses in many fields. And in particular, two. The one-off, which we have reduced. And you know that these have been one-off expenses have been a big cause of leakage in the past, and we have now put that under control and tight control. And secondly, the teams have been doing an incredible job in managing the overdues with a very high intensity, bringing them to two years low. And so these efforts have offset the impact of the results on the working capital with, in particular, a reduction of payables from the fourth quarter of 2020. Our net debt, as a result, has remained stable at $6.864 billion at the end of the quarter with a negative $200 million foreign exchange conversion impact. And on the other hand, the payment of $250 million of convertible preferred by KKR. Our debt, however and this is Slide 10 is going to deeply change in the coming weeks as we are about to close the sale of 60% of Wella to KKR for a net proceed of $2.5 billion. Together with a positive free cash flow expected in Q2, we expect a financial net debt post closing to land close to $5 billion and our financial net debt-to-EBITDA to get close to five times within one year at the end of calendar 2021. Another important factor in this respect is, as mentioned by Sue, the 40% stake, which we keep having in Wella, which has a value at inception of $1.3 billion, and you have seen the performance of Wella, this is very likely to grow in a meaningful manner. Since this Wella stake is now for Coty Financial Holding, we think it is important to take it into account when looking at our capital structure, and we will be following what we call the economic net debt that is our debt net of the Wella stake. This ratio will land post closing below $4 billion. and by the end of calendar 2021 should translate into 3.5 times of economic net debt to EBITDA, not far from our medium-term objective, which is to bring back Coty leverage below three times. Together with our cost reduction, this is a very important element as a more solid Coty is also about capital structure, with $5 billion financial net debt, a $1.3 billion financial stake in performing Wella and attractive debt conditions with three and five years maturity, that represents a key improvement of our capital structure and it is a fundamental building block to bring Coty back to growth and competitiveness. And with that, I hand over to you, Sue.
Sue Nabi: Thank you very much, Pierre-André. So as I discussed on the last call, I strongly believe that Coty has a beautiful portfolio of brands, brands that are universal and deeply rooted. In this past quarter, we have begun to see this universality together with a strong commercial execution translate into exceptional innovation performance across a number of brands and regions. Early in the quarter, we launched the latest women’s fragrance under the Marc Jacobs brand called Perfect. The fragrance and campaign celebrate self-love, authenticity, self-expression with an inclusive cast of 42 individuals partly scouted through an open social media casting call. The ideas behind Perfect has never been more relevant than at this moment, and they have clearly resonated with Gen Z consumers all over the world. Marc Jacobs Perfect has quickly become the number one fragrance launch in both the U.S. and the U.K. The success and incrementality of this new pillar has propelled Marc Jacobs fragrances overall from the tenth rank to the fourth rank in the U.S. and from the number seven position to the fourth position in the U.K. Similarly, in September, we launched the latest extension under the Gucci Bloom Pillar called Profumo di Fiori. The campaign representation between the mystical world of female sensibility and the idea of nature. The social media-driven campaign, unique packaging, floral scent has attracted global consumers, especially in America and China. At the same time, we have also seen very strong success with the expansion of the Gucci makeup range. In Sephora, across North America, Gucci lipsticks reached the number one spot and Gucci bronzer the third spot. And we continue to build on a similar success in China with the upcoming launch of Gucci’s First Foundation custom designed for China. As a result, we have seen double-digit sell-out growth for the overall Gucci brand in both the U.S. and China. Our growing success with Gucci in both fragrances and cosmetics has reaffirmed our stronger relationship with the Gucci Fashion House going forward. On the Mass Beauty side, we have seen key U.S. retailers share of spells stabilized for the rest of fiscal 2021, which is the first in five years. In fact, on Sally Hansen, we have been increasing our distribution based on its strong performance. Rimmel is positively booming in the U.K., continuing to build on its number one market share position. Likewise, we have seen our Brazilian consumer Beauty business growing very significantly. Moreover, we have continued to build on the success of the first two mass clean beauty lines. We had introduced it under the COVERGIRL and Sally Hansen brands in the spring. COVERGIRL Clean Fresh makeup line was the first face makeup from an established mass brand with a clean formulation free of many contested ingredients. The line was the number one foundation launch in spring 2020 and still remains in the top two for the year with significant appeal amongst Gen Z consumers. The renewed momentum and consumer relevance is reflected also in the wave of COVERGIRL’s earned media impressions now ahead of its peers. We have built on this success in recent months, launching COVERGIRL’s first Clean Fresh concealer, clean powder and clean Mascara. Similarly, Sally Hansen new launch called good.kind.pure was the first nail polish from an established mass brand to boast a clean formulation that is free from 16 contested ingredients. The launch was the number one launch across all U.S. mass metrics in spring 2020 and to-date remains in the top two. The new line has supported over 100 basis points of market share for the Sally Hansen brand. The success of COVERGIRL Clean Fresh and Sally Hansen good.kind.pure confirm that Coty is one of the first corporations at this level that understood this consumer shift towards cleaner formulation, launching both product lines ahead of the pandemic. And we will continue to launch clean, healthy launches across all our other brands in the coming months. In fact, Coty is leading the way in the areas that consumers are looking for in the new normal, cleanliness, healthy alternatives, inclusivity and self-expression. The second of our key strategic priorities is strengthening our positions in our core markets. We made good progress on this front in Q1, and Coty’s iconic brands are showing very strong resilience. We have best-in-class performance for Prestige in the U.S., with retail sales growth three times, I repeat, three times greater than the market. We are strengthening in Europe, and we are well positioned to drive profitable and strong growth in Asia and in China. In the U.S., we are seeing increased consumer spend on the wider Prestige category, including Coty brands. We are extremely pleased to see not only that the Prestige fragrance market in America has recovered from the June Q lows, but that, in fact, the market is back to growth since August, with the strength continuing through October. It is important to note that the Prestige fragrance category was the only U.S. Prestige beauty category that grew in the quarter, significantly outperforming both skin care and makeup as consumers redirected their discretionary spending to what we call mood-boosting and self-care categories. Against this backdrop, our Prestige business has been growing double digits since September and strongly gaining share. We now have two out of the top 4 Prestige brands in the market. This is supported by the strength of Marc Jacobs Perfect, also Burberry London Dream, Gucci Bloom Profumo di Fiori and Gucci Guilty for Men, which is gaining two ranks and rating now at number four as well as a strong growth of Gucci cosmetics. The mass cosmetics market, on the other hand, remains under pressure with continued declines in the mid-teens. While we are focused on helping to improve the performance of the category, we are pleased to say that our mass color cosmetics business is now tracking in-line with the category and holding share after many years of decline. Also within the U.S. mass business, we continue to streamline our SKUs and create a more focused portfolio, including this morning announcement of the Stetson license moving to a new licensor. This will have a negligible impact on our sales. In the U.K. now, the Prestige fragrance market has been volatile with monthly declines in the single digits to the teens. The resurgence of COVID in country is further elevating the volatility and uncertainty. However, in the midst of this uncertain environment, our portfolio has been gaining share in the U.K. Prestige fragrance market fueled by Marc Jacobs Perfect and Hugo Boss Alive, our latest successful female launch under the brand Hugo Boss. On the mass cosmetics side, similar to the U.S., the U.K. market has been declining in the mid-teens. Here, again, we continue to drive the performance of the market-leading brand, Rimmel, through strong execution and incremental launches, with Rimmel continuing to gain over 100 basis points of market share several quarters in a row, confirming its number one market share position. In Germany, the Prestige fragrance market trends have improved and are now declining in the mid-single digits. Here again, Coty is gaining share, driven by Hugo Boss Alive in the female area, Hugo Boss bottled in male fragrances and also with Jil Sander’s Eau de Parfum. Finally, in China, which I will discuss in more detail shortly, our Prestige brands have seen retail sales growth over 20%, fueled by both fragrances and, this is new, by cosmetics for the first time. While much work remains to be done to further strengthen our Prestige and mass beauty positions across each of these markets, we have already made good and strong progress and my goal is to build and amplify these successes. Our third strategic priority is accelerating our digital and e-commerce capabilities with a focus on direct-to-consumers. With the appointment of Jean-Denis Mariani as Coty’s first Chief Digital Officer, this is clearly a top focus for me and for Coty. Coty began building out its e-commerce capabilities, yes, later than leading beauty peers. And we are, therefore, not as advanced as some in terms of e-commerce penetration yet. Yet at the same time, we have been making very strong strides here as we work hard to close quickly the gap. Our e-commerce penetration in first quarter doubled year-over-year to over 13%, which has had very positive impact on the P&L, given the business is nicely accretive to Coty’s corporate margin average. While DTC is a small portion of our business, this is a strategic area we are focused on growing substantially with Kylie Jenner DTC business as a key learning opportunity and also a springboard for Coty. As we have invested in building a DTC backbone within Coty, which encompasses today order acceptance, processing and fulfillment, we have rolled out the Kylie Skin Care direct-to-consumer websites across a number of international markets, including the U.K., Germany, France and recently, Australia. The initial results has been very positive, with international traffic from this market to Kylie Skin Care website doubling and in-market sales up seven times. In Prestige, e-commerce sell-out grew double to triple digits in most markets, and our e-commerce penetration doubled to 19%. And all the while, we kept full control of how our brands are presented. The success has been driven by strong momentum on retailers.com websites as well as luxury e-retailers like Notino and Flaconi. In China, Burberry has performed strongly on Tmall, with Gucci due to launch on the online model in early 2021. We are continuing to capture new white space opportunities in this fast-growing channel, including recently signing a distribution agreement with Zalando, Europe’s leading online fashion platform, with over 31 million active users across 17 countries. In Consumer Beauty, we likewise saw double to triple-digit e-commerce sell-out in most markets with e-commerce penetration doubling to more than 7%. The growth has been fueled by strong execution on retailer.com website as well as e-retailers like Amazon. In fact, Coty’s brands gained 140 bps share on Amazon across our core markets, U.S., U.K., Germany, including a 112% sales growth over Prime Day. To further drive penetration, we will be accelerating our deployment of virtual beauty services, especially on makeup, in Q2 and Q3. Our fourth strategic priority is leveraging the potential of our skin care brands, formulating top-quality products with a portfolio that spans from accessible price points to the very high end. It is clear to me that we own advanced skin care technology and capabilities in-house, and we will build on this expertise and key capabilities. Coty’s IPs encompasses full light protection technologies, including blue light protection, environmental and biological repair or mastering dermatological-grade actives such as retinol, all of which are the key areas of growth in the skin care of today and tomorrow. And we are seeing some positive signals and green shots already. In Q1, Kylie Skin Care sales tripled year-over-year. Some of that has to do with her incredible reach with hundreds of millions of followers. This is comparable with brands like Nike and Starbucks as well continued growth in followers on her specific beauty channels. And it is important to note that close to 50% , of Kylie’s skin DTC orders are from returning customers, which is in-line with the average for skin care brands. Similarly, our Philosophy Skin Care brand, which for now remains predominantly in the U.S., is back to growth. We have begun to more actively move the brand in the direction of clean and green beauty. This began with the launch of the Nature In A Jar product line earlier this year. More recently, we have reformulated Philosophies purity, which is the number one facial skin care -- facial cleanser, sorry, in America to remove numerous contested ingredients, so we intend to broaden this approach to the full Philosophy range in the coming two years. As we do this, we will be tapping into Philosophy’s invariably customer base as we have seen that over two-third of Philosophy DTC orders are from returning customers. With both Philosophy and Kylie Skin Care boasting a loyal customer base in the beauty category already known for loyalty, we will continue to build on this success and expand our skin care footprint worldwide. These two examples of Kylie and Philosophy skin care perfectly encompass some of the key trends underpinning consumer demand today, namely a desire for clean and healthy products and direct connection with consumers through DTC. Last but not least, and as we mentioned on the last call, we are ready in the process of developing the Kim Kardashian West skin care line and expect to launch it in fiscal 2022. The final strategic priority is expanding our business in China. Amidst the widest economic trends, we see great potential from the increase in domestic travel, which sees our brands overperform in luxury tourist destinations such as Sanya Island. We already have many brands within our portfolio that are highly, highly desired by Chinese customers, including Gucci, Burberry, Chloe, Tiffany, Calvin Klein, to name a few. The big hurdle for Coty in the past to expand in China has been our category exposure with fragrances at the heart of our Prestige portfolio, yet the Chinese beauty market dominated by skin care and cosmetics. There was clearly a limit to Coty’s in-market potential. However, we have begun to clearly address this category mix challenge with the successful launch of Gucci and Burberry cosmetics makeup in China and the continued expansion of Lancaster and Philosophy skin care with Lancaster already the number one sun protection brand in Sephora in China. As I mentioned before, our recent launch of Burberry makeup in Tmall is performing very well, and we are on track to launch Gucci Beauty on Tmall in early 2021. The combination of this effort has resulted in our Prestige cosmetics and Prestige skin care retail sales in China growing over 40% in this fourth quarter, now accounting for close to 20% of our Prestige business there. And this is just the beginning. In fact, despite the more limited assortment, our Gucci two axis counters, selling both Gucci fragrances and Gucci cosmetics, have generated monthly sales, which are on par with the leading Prestige multi-access beauty brands. The good news is that the Gucci makeup line will be soon fully comprehensive with the upcoming launch of its first liquid foundation formulated specifically for Chinese consumers. Last but not least, the appeal of Gucci Beauty has been further boosted with the recent announcement of Gucci Beauty first Chinese brand ambassador, Luhan, who is a leading influencer and singer in the country with over 60 million followers. The announcement has seen breakthrough results with over 100 million digital conversations about the announcement. And this drove results within only two hours, the whole stock of lipstick that Luhan promoted completely sold out on gucci.com. Time for conclusion. Altogether, it is clear to me that a stronger Coty has emerged in the past quarter. We of course, remain committed to diligent cost control and delivering on our fiscal 2021 financial commitments. This include being profitable and cash positive for the year and further deleveraging upon Wella closing. After several months in the CEO role, I am as convinced as ever that we have put in place the right foundation to unleash Coty’s huge potential. I want to take this moment to thank our Executive Chairman, Peter Harf, for all his absolutely exceptional work in putting Coty back on track. Coty is now ready to grow in all core regions, categories and price positionings across the different markets. Let me remind you the priorities. More than ever, we are committed to reigniting our mass color cosmetics business, especially COVERGIRL. Likewise, we will accelerate Coty’s Prestige business growth through makeup by leveraging our designer brand portfolio, of course, Gucci and Burberry, especially in Asia and in China. And we will continue building two new growth engines, leveraging the potential of our skin care brands powered by our new DTC capabilities starting already with Kylie Skin Care. The sum of these lay the foundation for Coty’s sustainable growth in our new normal. Thank you very much for your time, and we are now pleased to receive any questions.
Operator: [Operator Instructions] Our first question comes from the line of Steph Wissink of Jefferies.
Stephanie Wissink: Good morning everyone and thank you for the comments. Our question today relates to cost of sales and marketing expense. If you, Sue, could just talk about your change in marketing approach. I think Pierre talked about it as a pretty significant change in the process that you are using to allocate marketing dollars. If you could just share a little bit more about that process change. And then on the cost of sales, how should we be thinking about the mix effects as you advance more into Prestige skin care and cosmetics? Should that be a net benefit to your overall gross profit margin?
Sue Nabi: Thank you, Steph. So to answer on your first question, we are meeting all together, as Pierre-André has been describing it, on almost a day basis to really think about what are the areas where we need to focus our working media investment. Clearly, the results we are having at the moment in the U.S., for example, on the luxury side of the business, show that when we concentrate and focus our investments on key bets, on products such as Clean Fresh makeup by COVERGIRL, Perfect by Marc Jacobs, which are the products that are currently resonating with the needs of customers, especially investing online, the results are there. So this is really a lesson, in a way, versus what the industry probably in general and Coty, in particular, has been doing in the past, which is maybe to invest on a very wide range of launches and bets. This is really something that we are going to continue to do and probably after, hopefully, this crisis is over, we will continue to put more money on bigger and fewer initiatives. And the second prt of your question was about.
Pierre-André Terisse: Well the mix effect on the Prestige makeup and skin. Obviously in margin terms we expect that to be accretive.
Stephanie Wissink: Thank you.
Pierre-André Terisse: Thank you.
Sue Nabi: Thank you.
Operator: Our next question comes from the line of Faiza Alwy of Deutsche Bank.
Faiza Alwy: Yes, hi good morning. Su, I was hoping to talk a little bit about the COVERGIRL brand. I think you highlighted that as one where you would like to reignite growth in that brand and I was hoping to hear from you like how you are thinking about that, is it more incremental sort of smaller steps like the COVERGIRL Clean and Fresh or are you thinking about it more as you know a big splash or a relaunch like you did two years ago? And Sue, I wonder if you have looked at that last relaunch of COVERGIRL and from your perspective what do you think went wrong at that time, you know was it the advertising plan, was it the product quality , was it the operational self execution or something else and just how do you intend to approach that brand this time around?
Sue Nabi: Thank you. Faiza for your question. This brand is very dear to my heart again, if it again I have been looking at this brand in the past years as you can imagine a lot and admiring this brand to be very honest with you. Today COVERGIRL is the most loved brand in America, in the makeup area, still the most loved brand. This is a great asset to build on. The second thing is that it is not a surprise that clean fresh makeup is so successful, I don’t know but if people are aware of this that clean makeup have been invented by COVERGIRL in 1961, so we are talking about you know 60-years ago COVERGIRL invented the first medicated foundation using Nokzima in regions. And today this is exactly what we call the [skinnification] (Ph) of makeup. So COVERGIRL in a way was - 60-years ago of what we call the skinnification of makeup. So there is no other brand that can own this territories on COVERGIRL. That explains a lot to the success of clean fresh makeup which by the way we are expanding into consealers, into powders, into mascaras and also expanding in other brands of our portfolio very, very soon. So this is really something that for me is going to take back COVERGIRL to the position where it has been very few years ago. And the other great news that I can share with you is that this launches are attracting to COVERGIRL but also to our retailers in America much younger consumers. GenZ consumers of those who made the success of clean fresh and stabilize in a way overall clean makeup market share in America and COVERGIRL. The good news is that for the first time in five years the shred space of COVERGIRL is not reduced anymore and this is also another win shot I wanted to share with you. when it comes to what is next, of course we are working on something let’s say quite strong in terms of what COVERGIRL stands for and should stand for in the near future. And I think this brand has huge opportunity to live the game in America about what should be a mass cosmetic makeup brand starting and building on the success of clean fresh makeup. To answer your question about the previous relaunches, I had a quick look to be honest with you at these and I think you know again the big mistake a lot of people do is to look at what is happening in the markets around you and try to mimic trends. You know I saw that on other brands I have been taking care of in the past years and looking at competition is you know always a problem. Because the tendencies to do what the others are doing and probably COVERGIRL should have never moved from its story of being the inventor of the makeup, being the most loved brand in America, being the brightest brand in terms of colors and the most luminous I would say breath of a brand in other words. So there is a story there that has nothing to do with what has been done in the past, that hopefully is going to take back COVERGIRL into its leadership position.
Faiza Alwy: When should we expect sort of new news on that. Again is it sort of incremental or should we - are you going to announce you know sort of big V launch in the next -.
Sue Nabi: Working hard on that, we are making a lot of progress since September on you know the new story and everything. So hopefully we will be able to tell the news internally, tell the news externally to our retailers of course and build with them the new COVERGIRL hopefully next year. Yes.
Faiza Alwy: Alright. Great, thank you so much Sue.
Sue Nabi: Quickly as possible to be honest with you.
Faiza Alwy: Thank you.
Sue Nabi: Thank you Faiza.
Pierre-André Terisse: Thank you very much.
Operator: Our next question comes from the line of Robert Ottenstein of Evercore.
Robert Ottenstein: Great thank you very much and congratulations such an exciting start. Tow question one shorter term and maybe slightly longer term. So you know could you just give us a little bit more granularity on the holiday season, you said solid orders. How are things looking in terms of [11/11] (Ph) and your preorders there and any other sort of color you can give us in terms of Prestige versus Mass, is it still for the holiday season very much Prestige and how are you play into that. So that would be the shorter term question. And then the slightly longer term question or more strategic question, you know a lot of your main competitors are obviously adjusting their channel strategy in the U.S. moving away from department stores, own free standing stores and really becoming very dependent on e-commerce and obviously you are also pushing hard in e-commerce for all the obvious reasons. The question is are any of their moves in the brick-and-mortar area actually opening up opportunities for you. so those would be my to questions. Thank you.
Pierre-André Terisse: Okay I will try to be use in sense of what we are seeing ahead of the holiday season. Actually talking about what you say about Prestige versus Mass. We see very good traction on the Prestige side and in particular in the U.S. and altogether in the makeup particular in the U.S. and that has been one of the - during - actually a pretty good performance on October and if you have a look at the product more specifically, Sue mentioned there Marc Jacobs is a clear one Gucci is another one, Makeup absolutely from Gucci is another one. So in Q1 you see that victory is still behind Mass, at the moment and ahead of the early season this is not really more the trend as we view. So again very encouraging signs in particular in America that is a bit less the case in Europe and now there is lot of brand coming in addition, but altogether its clear to me that we should expect the Q2 improving versus Q1. A lot depending on the effect of the lockdown but there would be improvements. So that is for the short question, I don’t know Sue if you want to add something.
Sue Nabi: No. That is all.
Pierre-André Terisse: And on the channels, I mean the only thing I can say is that on e-commerce we are definitely changing scale, as we are changing scale twice we have been [indiscernible] which is twice the one we had a year ago, so you know we just change completely things. And two, we are adding resources with [indiscernible] coming and the development of the of the DTG platform which is very well, and very fast. So that is definitely going to be one of the key element of our strategy going forward in America, business only in America. Okay. Next question.
Operator: Our next question comes from the line of Olivia Tong of Bank of America.
Olivia Tong: Great. Thanks good morning. The first question for Sue. I’m curious on your view on your opportunity in cosmetics and Prestige fashion brands, Gucci, now Burberry. Because so far, it seems fairly measured I mean, great growth, but fairly measured so far, insofar, it is for lipstick, now foundation and, of course, realizing that the current backdrop is somewhat challenging with respect to the makeup category. I thought it was really refreshing to hear your perspective on COVERGIRL and your views on the brand direction. So I was wondering if you could do sort of a similar exercise in terms of the long-term potential for some of the Prestige cosmetics brand in your portfolio? Thank you.
Sue Nabi: Thank you, Olivia. Yes, I think that is a very important question. We see clearly that the sales of brands such as Gucci because you named this brand, that are really booming both in the U.S. but also in China. In France, we just started at Sephora. And the figures were very, very good, including lipsticks, which was a surprise. But again, there is a strong appeal towards products that are going to be, on one side, very well positioned versus what the consumers are looking for. And I think the success of Clean Fresh makeup but also, I didn’t mention it in my previous answer, the success of good.kind.pure from Sally Hansen, but also the success of many other things we have been doing in the fragrance arena with Calvin - CK Everyone, fragrance - Atacado-certified fragrance. All this shows us that there is no issue on the mid to long term with cosmetics. It is just a question of putting on the market the right offer that answers consumer needs. And consumers are all about "give me something that is good for my skin, give me something that will make me look good either on Zoom or if I still go to the office. Give me something that I will not feel guilty consuming because it is good for the planet and good for the society we are living on, et cetera." So this is clearly a direction, and it gives us a lot of clues about where to take all our brands, especially this one. On the Prestige side, there is huge, huge, huge potential of brands such as Gucci and Burberry in the makeup arena, assuming that these brands, and this is exactly what we are doing, are launching products that are, of course, clean, vegan, using ideally reusable packaging, et cetera. So I really don’t see any reason why this category would be challenged more than after this current crisis is with us. So makeup is going to be back, but not the same makeup.
Olivia Tong: Got it. That is helpful. And then you obviously outlined a lot of initiatives. So can you just talk a little bit about how you are going to prioritize all of these and what incremental investments you have to make to get there, whether the personnel system, et cetera? Because not like skin care, China, greater e-commerce and DTC, just kind of curious on the timing on when you think those will come to fruition. If I could just sneak one more in on the other side, you mentioned a small brand divestiture. What’s your view on the likelihood of potentially more exits? And are there brands that you maybe haven’t really pushed in recent years that as you do a further review, you think could be more interesting areas? Thanks.
Sue Nabi: Yes. Thank you for your question. Again, we are committed to reigniting our mass color cosmetics business, especially COVERGIRL. So we are going really to focus a lot on COVERGIRL, continue of course the fabulous story of Rimmel in U.K. and of all our other brands, Sally Hansen in the U.S., our makeup business in Brazil, too, but we are going to focus strongly on COVERGIRL because there is huge potential on the COVERGIRL for all the reasons I have been mentioning in the past. To come to your question about are there other assets that you are going to leverage, yes, I can give you one in the mass business that not a lot of people talk about to me, which is Adidas. Adidas is probably the brand that has the biggest potential in terms of taking care of your body, cleansing your body, taking care of your body, boosting your mood before you go into practice sports or whatever. So there is a huge potential there. We started to work on this. So this is typically the kind of answer I can give you on this area. In the area of the Prestige business, clearly, consolidating our number one luxury fragrances makers in the world and success such as Perfect are really adding to this and accelerating in the luxury makeup arena, especially in Asia and in China. And the brands we are going of course, to focus on when it comes to luxury maker are Gucci and Burberry. And last but not least, investing on DTC, this can benefit all of our brands, including Kylie Skin Care, also Kim Kardashian West Skin Care launching in fiscal 2022, but also benefiting from all the other brands that we think are digitally gifted. So in fact, the choice will be a mix of bets where we have a clear return on investment, but also brands that are advanced in terms of digital conversations or brands that are highly desirable.
Pierre-André Terisse: And Olivia, Pierre-André, just to complement on the very technical point, what we said about Stetson is not a divestiture. It is just a license, which has not been renewed. We have, since this summer, decided to take a more realistic view concerning, the licenses and to focus on the one which we think have a big potential. So we may not be renewing all of them to be sure that we focus on the right one.
Olivia Tong: Thanks so much. I appreciate it.
Sue Nabi: Thank you Olivia.
Pierre-André Terisse: Thanks.
Operator: Our next question comes from the line of Lauren Lieberman of Barclays.
Lauren Lieberman: Great. Thanks. Good morning everyone. Two questions. First was just about fixed costs reduction. I was just curious if you could - Sue mentioned or Pierre-André mentioned, headcount reductions and accelerating that. But I was curious about anything you could share on the bigger buckets of fixed cost reduction because Coty has been attempting to reduce costs for so many years, and this was a part of the prior plan. So curious a little bit more color there. And then closer in, I was just curious as to the decision to launch Gucci on Tmall in early 2021 rather than being there for 11/11 and moving more quickly. I understand, so you have been in the seat for only a few weeks, but we are still just curious on the time decision there.
Pierre-André Terisse: Okay. I will take the fixed cost. Well, it is really a good plan between people costs. And indeed, 600 people have left the company since Q4. And non-people costs, and in non-people costs, I can tell you we have been reviewing everything, taking advantage of what we went through during COVID time, which, in a number of cases, means no spending anymore, and leveraging on that. One thing which I mentioned, which is not necessarily very noticeable because these were expenses not in the P&L, but the so-called normalized costs, has been precisely the fact that we have tightened a lot the rules to normalize, making it very exceptional. And that is really creating a mentality of we need to look at the cost, and we need to make sure that every euro, every dollar, in fact, which is spent is spent because it is necessary to the company. And I think the change of mentality, the change of speed as well in implementation and Gordon has been helpful in that with the teams coming from Capstone. This change has made for the first time as far as I know, Coty delivers such a magnitude of fixed cost reduction. And so people cost, non-people costs, are the two main buckets. Of course, on top of that, you have some others in COGS and distribution in particular. But yes, the sense of urgency is completely different. There is no leakage anymore. And therefore, we are going ahead with that. And I think that is promising. I mean, what I mentioned during my speech and I’m sorry it is repeated, but to me, that is very important. When you look at the savings, $80 million, and the operating income $81 million, I mean you see that this is a game changer for us, because then this is going to make it possible for Sue and the team to invest behind the brands. So it is going to make it possible for us to build top line, to accelerate top line. So that is really on fixed costs. On Tmall discussions, yes. I mean I don’t think we can enter into the detail of the discussion we had. We had to true the timing. We chose this one. I mean, the important thing is to do it well rather than to do it soon. That is again going to be one of the game changers for us in China. China is a priority. China luxury is going well. We need to accelerate on that. And clearly, the Tmall agreement is key.
Lauren Lieberman: Great. Thanks so much.
Sue Nabi: Thank you Lauren.
Pierre-André Terisse: Thank you.
Operator: Our next question comes from the line of Wendy Nicholson of Citi.
Wendy Nicholson: Hi. Actually, it is a good lead into my question, which is just more about the China marketplace. You talked about China now being more balanced in terms of makeup and skin care, but it actually looks like there is been a surprising degree of growth in the fragrance market in China. So how focused are you on expanding some of your luxury fragrance brands or investing heavily behind them? And then second, just in terms of distribution in China, are you focused on brick-and-mortar department stores in addition to Sephora or are you really focusing on Tmall as a primary distribution channel? Thanks.
Pierre-André Terisse: And I will let Sue elaborate on that after. But it is clearly - so a, fragrance is the base and is the base of the brand because when we talk about makeup, we talk about makeup for Gucci and for Burberry, which are as well fragrance brands. So it is not one or the other. It is together, and that is what makes it strong. So fragrance is definitely something we keep working on. And on top of these two brands, by the way, there are others like Chloe, for instance, or Tiffany, which are really doing well. And makeup is coming on top, but that is true that, on the Chinese market, the makeup partition is bigger than the fragrance partition and is lower or smaller than the skin care partition. So it is definitely an important one. In terms of channel distribution, clearly, the own store are an important part. They have been the base of our development in the case of the two brands I have mentioned. So brick-and-mortar is absolutely the base. We have been able to build a strong franchise there, although not very big, but a strong franchise there without the help of e-commerce. We were not in Tmall until last summer. We started with Burberry, and now we are doing that with Gucci. When you look at the rest of the competition, there has been a lot relying on e-commerce, while we have not. So in fact that gives us a solid foundation to now accelerate with e-commerce. But definitely, it has to be, again, a game of the two. It cannot be one or the other. If we are in China, it is also to be present in China physically.
Sue Nabi: I agree with what Pierre-André just said. To complement, I would say that the fact that take the example of Gucci and Burberry brands that are in flagship counters and on flagship counters, you can really expose your two categories, which are makeup and fragrances and, therefore, doing joint sales, selling the latest Gucci powder. Soon, the first foundation made, the custom-made for the Chinese market and the latest, Profumo di Fiori, which is doing very well in China. And I see it as a mix of, on one side, the huge opportunities on e-commerce, but also choosing flagship places where the brand can show the expression. And I don’t know if you went recently into a store. If you see the way our brands, Gucci and Burberry, to name the two ones in the makeup arena presented, they really stand out from the crowd. And this is something that is non-replaceable. So flagship distribution, where we can have people interacting with other people and at the same time being where people are shopping on a daily basis. I think the two of them are really complementary with this idea to keep these two hands of - the two hands in maneuvering in this Chinese market.
Wendy Nicholson: And 1 thing we have heard increasingly about the Chinese market is just an elevated level of promotional activity from both western brands but also Japanese brands and whatnot. So can you talk about what you are seeing and what you are expecting? And is China going to be a profitable business for you or maybe take some time to invest as you ramp up the revenue side?.
Pierre-André Terisse: I mean we are not seeing that at all, maybe because we are in a specific place, but we are not seeing that at all. And yes, we expect this market to be profitable and, in fact, to be very profitable. So we don’t have any concern of that timing.
Wendy Nicholson: Thank you.
Sue Nabi: Thank you.
Pierre-André Terisse: Thank you.
Operator: And ladies and gentlemen, we do have time for two more questions. Our next question will come from the line of Andrea Teixeira of JPMorgan.
Andrea Teixeira: Thank you and good morning everyone. So I was hoping if you can talk about the shipping and consumption trends in October. And not to take away from the impressive sequential progress, how much for your continued operation like-for-like in the first quarter benefit from the replenishing of inventory, which I think is something that the industry has talked about? And the second part is, just a clarification from your presentation. Pierre-André, you mentioned the cost recovery from the KKR agreement of about $12 million in the first quarter. Is that recurring in this approximately the same amount going forward? That is just for modeling purpose.
Pierre-André Terisse: Yes, sure. Well, I will start with the second one. So this is going to take place as soon as we close, so in a few weeks. We have to keep in place certain costs to make the separation with Wella occur over a period of time of one year in terms of actual logistics and logistic terms and operational terms. These costs represent about $12 million, we are going to reimburse them to Wella for as long as the agreement is needed, which is likely to be between 12-months and 18-months, okay? I mean not likely. It will be between 12-months and 18-months for the most of it. Once this is finished, we will stop re-invoicing, but we will also depend all the costs, which were necessary for that reason, okay? The cost being today present in Coty because they were in Coty, and now we have dedicated them to the Wella agreement, they will be unnecessary after the end of the TSA. On the first one, you are right. In fact, it is when you look at the like-for-like trends in July, August, September, you see clearly that July was helped by some temporary effect, which can be either because there is been some movements from June to July or because the base in July a year-ago was very weak or because, indeed, there is some deloading and we see that, by the way, both in remainco and direct co. Now since then, we had the benefit of seeing August, September and October. And October, for instance, is completely clean of that kind of element, clean of the element of restocking, which I could not quantify, but they both are one of the reasons why the performance in Q1 is better than in the previous quarter, but they are not the trend. The trend is there, and October definitely shows that. I hope I answered your question. I hope that answers your question.
Operator: Our last question comes from the line of Joe Lachky of Wells Fargo Securities.
Joseph Lachky: Hi, thanks. I just wanted to hit Asia Pacific and China, specifically, from a little bit of a different angle than what you guys had discussed before. Obviously, the performance in that business is weaker than a channel, there is been commentary from others that domestic duty-free market is on fire, and there is been positive impacts from more rapid reopening of travel corridors within Asia. So maybe if you could unpack the travel retail channel a little bit. And then you mentioned a number of initiatives you are doing in China. But obviously, you are lagging with your exposure to the skin care category. So I’m curious why it will take longer term to improve your presence in that category. I mean, will it be new brands, additional acquisitions, launching Kylie kind of if you could explain more of a long-term perspective on skin care in China?
Pierre-André Terisse: Yes. I mean, simply, you said that, the travel retail in Asia we have is international, and there travel retail business is deeply impacted. We don’t have a sizable, by any mean, sizable business in domestic travel retail. And therefore, we don’t benefit from that. And obviously, we don’t have, for travel retail purposes, an offer in skin care, and we don’t benefit for that either. So you are right that some of our competitors have shown numbers on travel retail in Asia which are definitely far away from ours, but we just don’t have the same portfolio. Sorry.
Sue Nabi: To complement what Pierre-André is saying, I would say that this is precisely the region why we are accelerating strongly, strongly on first makeup again and face makeup, which today is a part of skin care, in other words, with the launch of Gucci First Foundation custom-made for the Chinese customers, soon the same thing with Burberry. So this is one way for us to expose our brands wider than with fragrances. And again, fragrances are doing very well today. As you said, as somebody else said it previously, in Sanya Ireland, our sales are triple-digit growth. And we are opening new stores, by the way, very, very soon. And second, we are working like crazy to build a skin care portfolio. And the great news is that, in terms of skin care capabilities, expertise, patents and IPs, Coty owns, I think, a portfolio of technologies that is unique today on the market with a lot of know-how coming from the Lancaster brand that is, by the way, number one in sun protection at Sephora in China around light and environmental aging protection. We are going to build into this area. Second, around the vectorization of dermatological-grade actives. Again, Lancaster is the inventor of putting retinol the right way on the face. Every brand of skin care knows that retinol is the most coveted ingredient for now and for the future. We have also patents in regenerative medicine, inspired repair technologies in the longer area, obviously, from the makeup side, And we are going to add in new expertise. We will have probably four or five skin care expertise so that we can build a portfolio of brands going from the least expensive to the most super-premium brand, to really own all these areas since we know that skin care is today happening at every size of the market, especially growing in premium and premium price arena.
Pierre-André Terisse: And just maybe to add, so coming back on the travel retail. Travel retail is obviously - we are not saying it is uncrossed. It is obviously being shocked by the - in our case, we are reacting into direction. One is adjusting the cost structure because, definitely, this business has to be resized, considering the fact that some of the trends are going to be here for some time. And B, we are redirecting time and initiative in the places where we think there is potential. So the great thing is that I think we have a good chance to reshape this business and to make it much better, much more useful, much more - in the new environment. And talking about skin, I just want to add as well that there is one brand we have not mentioned, which is going to be very important going forward. We are finalizing now with Sue the integration of Orveda as the top premium brand in the portfolio, and that is going to be one of the tools we are going to use. So altogether and maybe to conclude and leverage on this question on the Q&A, we are really actively working on, on the one hand, on cost, And I can tell you that this is not the end. This is not an exceptional thing. We are pushing, and we are going to continue pushing, and we are going to continue delivering. And on the other hand, on the rebuilding of the portfolio on net revenues. And frankly speaking, what we see in October is good. We have to obviously cope with the environment, but we are much, much more solid. And well, the best is definitely yet to come.
Pierre-André Terisse: I think we will end the Q&A now. Thank you all, and we look forward to zooming you, seeing you, not on the road, but on the network. Thank you.
A - Sue Nabi: Thank you, everyone. Thank you. Have a nice day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference call. You may now disconnect.